Operator: Good afternoon. This is the Chorus Call operator. Welcome to IGD's Conference Call presenting results for the First 9 Months of 2025. [Operator Instructions] I will now turn the conference over to Mr. Roberto Zoia, CEO of IGD. Mr. Zoia, you have the floor.
Roberto Zoia: Good afternoon to all of you. We released a press release and the presentation as well was released a couple of years ago. So let me start diving into a presentation, and then we'll leave room to your questions, of course. Let me start with Page 2 in the deck of slides. Well, we'd like to remind you that the path we outlined with our business plan is heading in the right direction. And over the last 9 months, we secured a loan for 600 -- Green-secured loan for EUR 615 million. And we have recently issued a EUR 300 million Bond, and we had already stated after the first funding that we would have monitored the market to catch the right window. And so in 10 months, as you could see, we've refinanced almost EUR 1 billion. So we think it's a good result, indeed, considering that both transactions enabled us, and we'll see more in detail as we proceed through the presentation to increase our maturity profile and decline the average cost of debt. Of course, we keep disposing of our assets in Romania, 3 assets were disposed for EUR 14 million, and we have already negotiations at an advanced stage always in Romania. With the rationale we've already disclosed, we're going to focus on a single asset basis, maybe it's long negotiations, but they are providing the expected results. So I am confident that even the last 40 days from now to year-end, that might be surprises because we have advanced negotiations ongoing. And also from the operating side, not on one-off, but on the recurring basis, results are very positive as to our portfolio on a like-for-like basis, end of September, we are up 3.8% versus September last year. EBITDA, core business EBITDA, always on a like-for-like basis is up 2.9%. And first and foremost, we had excellent results for our funds from operation, landing at EUR 31 million. Last but not least, let me say, is an excellent signal for each and everyone is the performance of our group net profit. And for this quarter, we started with about EUR 10 million in the end of June, we are at now EUR 17.6 million. And we are talking about -- we are down EUR 32 million, and we have a positive delta of EUR 50 million overall. So an excellent result was achieved. From an operating standpoint, tenant sales are up, and they're up 1.3%, and that is very important because this is really supporting us when we go and renegotiate contracts with tenants. And we had meaningful upsides for new contracts and relettings. Footfalls are also faring very well, they are up 3.7%. And that is much higher than the CNCC average. And of course, they are monitoring about 300 shopping centers. So the footfalls result is definitely driven by some anchor tenants that we have placed in some of our shopping center shopping malls. Primark in Livorno that is really attracting a lot of visitors. And we introduced Action into one of the shopping centers do. That is now turning out to be a very meaningful traffic generator, and it was placed in Ravenna and Casilino, Rome, with very, very interesting results. Also very interesting is the up -- 1.6% of the hypermarkets that are owned by IGD. So in our portfolio, most of our hypermarkets were downsized versus the main shopping area. And they are starting to grow in a very interestingly, I will say. If we move to Page 5, if everything is always very consistent performance wise. We have tenant sales that are growing, footfalls that are growing and occupancy as well. Over 1 year, we've grown 1% in occupancy. We have a time from here to 2027, we want to get to 98%. We're now at 96%. So time after time, quarter after quarter, we are achieving the growth. We're also working very hard on extending our contracts. You see in 4 quarters. We've been stopping at 2 years as far as our WALB is concerned. But many contracts are now due. And tenants had a break option rolling 12-month rolling, keeping 2 years, retaining 2 years, those who have all contracts for 1 year, the new contracts will be 3 years long. And from now to 2027, we want to get to 2.5 years WALB. Upside for Italy, up 1.3%. 8.3% of the malls total rent was either renewed or relet. The average of upside is 1.3%. We're up 0.3%, and its net after inflation and then you have to add inflation to it, which is also reflected in our assessment and evaluation. So world occupancy and upside are also heading in the direction that we had already identified in our business plan. On Page 6, you can see a few pictures. I mentioned Action as a new brand, they are really doing exceptionally well, especially as far as footfalls are concerned. They are a wonderful attracting brand. We focus very much on La Piadineria for food. They are currently very, very successful among young visitors, among young people. And then Mini Market, Arcaplanet, and Douglas are also really driving the performance. Page 7. And again, one of our lines of action mentioned in our business plan, we want to focus on digital transformation. We've completed 11 apps or the main shopping centers in 2025. And this digital system is really enabling us to increase profiling activities to deepen the knowledge of our customers, like clients and to come up with ad hoc promotion based on customer classes. So we're very much focusing on this. We call it IGD ecosystem, and it goes hand-in-hand with leasing activity, and we started excellent relationship with the big chains. And we came up with other apps as well already applied in 28 shopping centers, rolled out in 28 shopping centers to really increase and improve the relationship between owners and tenants. So we constantly have an ongoing dialogue with tenants for the events we organize at the shopping centers. We get their turnover every day. So we have this ongoing relationship, which is excellent because retailers have finally understood that they save time. Everything is -- where we keep track of everything and they're using these platforms really well. It's a good time also for real estate. I mean, retail real estate, you saw the results for the first 9 months they were really outstanding, meaning that a retail asset class was the top asset class, the #1 and transaction-wise, was much better than logistics and offices. So somehow, it's a close second -- sorry, hospitality is a close second. And in the past, we did have volumes, but it was either high street buildings or supermarket and hypermarket was over the first 9 months of 2025. We see comeback of shopping centers, for instance, the Veneto one, the small ones, the 2, Bennet purchased or the 2 in Rome, but eventually, we had a big transaction in the Oriocenter transaction, EUR 470 million in 1 single transaction where there's a partnership. We have launched ourselves when we first created our 2 funds. It's industrial players with financial players interacting. So if Orio, Percassi bought it back. They have built promoted and managed. So it's a big property asset manager. And of course, they work with a more financial players such as Generali. And therefore, this was indeed one of the main transactions in retail real estate. And I think this is really a good introductory factor for further development going forward. The same thing we see in Romania. Romania, we know is a very small country, transaction-wise also, but you see that retail -- practically, the retail transactions accounted for half of the overall real estate transactions. And therefore, there's a certain appetite for retail real estate in Romania, too. Let's move to Page 9, some financial highlights. We are still focusing on our goal to reduce our Loan to Value. In the first 9 months, we reduced our Loan to Value by 40 basis points, landing at 44%. And then a few more detailed pieces of information we keep reducing our cost of debt as well. Let me remind you that last year, full year, we were at 6%. Now we are at 5.3%. And post new bond issue, estimating the EUR 300 million issued on November 4. In that case, too, we would have a positive impact landing so that we land at 5.1% weighted average interest rate. And that will generate benefits for 2026 as well. So in the first 9 months, 90 basis points, that is really -- I hope it really meets the expectations everybody had vis-a-vis IGD. And very interesting as well, I'm on Page 10 now. The net rent -- net rental -- if you deduct the net rental income of disposed portfolio, food portfolio in the first few months of 2024, EUR 5.2 million. And then you start to see the erosion coming from -- of revenues coming from the disposals of Romania, but they were offset -- net rental income wise they were offset by a growth, both in Italy and Romania with -- so the changes, the delta versus 2024 is still positive, up 3.8%. So net rental income from freehold landing at EUR 75.9 million on the EBITDA wide. We -- it's slightly lower the increase because we have some costs that we have to cope with in the last quarter when we had some items to the deal with on the -- an offset on the receivables and payables side, but still EBITDA -- core business EBITDA is nonetheless growing, up 2.9%. And then on Page 12, you see our financial position. We cost saving over the first 9 months that goes from EUR 52.1 million to EUR 43.6 million. So we have a cost on nonrecurring items or charges on the one hand, but also and mainly, that will be very useful for 2026 and 2027, a financial management, where we saved EUR 8 million that will then, of course, have a positive impact on our FFO figures. Page 13, FFO. This positive EUR 8 million from our financial position coming from last year, helps us offset missed revenues deriving from disposed assets. And on the one hand, we have a delta in the consolidation scope. So we lost EUR 5.3 million of revenues, but improving our net financial position and improving our average cost of debt and improving our EBITDA delta from core business. So these two items add up to EUR 10 million. So they more than offset the EUR 5.3 million we lost due to the portfolio disposals. We had over the same time frame, so we improved our core business and our financial position on a like-for-like basis. So they more than offset the effects of our disposals. So this makes us say, we are -- we should speed up in actions in Romania. So because in addition, on the one hand, yes, we missed out on revenues, but we will improve our financial position, group net profit. Last year, we had to write down or impair our third stake and not having that charge or burden. Now we are a machine producing profit that could be more or less strong depending on the years, but our core business is really generating profits, both from an FFO wise and also from a revenue standpoint. So the group net profit landed at EUR 17.6 million, and we had to expense with the repayment of the bond in February, all the ancillary costs they have to be expensed, but they were more than offset by the operating results. I think that our new issuance, and I'm on Page 15, now the new bond issued is telling us a lot. And what do I mean by this? I mean that first of all, we are back to the capital market. And if you remember, on the -- in 2023, we performed a transaction, the last useful day at very, very costly conditions while this issuance, I really told us that market appreciated how we managed our financial position over the last year. We had orders for over EUR 1.35 billion, so more than 4x the book we were offering, that is to say we offer EUR 300 million. And that, of course, generated a cost compression we came up with a guidance at 4.7%. That was then closed at 4.45% as annual coupon. What is the benefit? It's a strategic advantage or edge, if you want. I don't -- I said I don't like to say -- I'd like to have 100% secured debt or 100% bank debt. So now we really have offset our funding sources because EUR 300 million come on the market. And we also have rebalanced secured and unsecured loans. As you see in the following slide, we are -- we have more than EUR 630 million of freed up of unencumbered assets because, of course, in case of issuance, we wanted to free up assets and we know that rating agencies like this very much. We have extended our debt maturity profile because the facilities that we have closed. Now we have added 1x per year without cliffs from 2029 and 2030, and we have improved our maturity profile. On Page 16, you see that despite of disposals, our NFP went down, Loan to Value went down too. The average cost of debt went down. And ICR, the interest cover ratio went from 1.8x to 2x. And we get net debt on EBITDA went from 7.9x to 8.1x. So with the improvements we have achieved, thanks to disposals, we should be back to a more appealing figure, let's say. And then on Page 17, you see the Group's’ Maturities Profile, the maturity we have in 2029 has now shifted to 2030. And just look at the slide and you will have a perception -- a clear perception of the work we have done so far. We're working on maturities from here to 2028. The banking is the bank loan dates back to 2022. And the idea, the objective here is to attack that funding, extend the maturity because it's also the most expensive instrument and so try and fine-tune our margin for 2026 to further cut it. You see between 2026 and 2027, we have no meaningful maturities, and we're already working on the 2028 financing. So we will extend the maturities there too. But I am confident that we will have a further decline of the average cost of debt. So we've extended maturity. You probably read that Fitch confirmed our ratings, both corporate and issued bond as well. So it's an investment-grade bond that was issued based on Fitch's Rating. And it could be improved based on the comments made by the 2 rating agency. Also thanks to the -- as we've cashed in money, so we are going to free up bonds, and we will get to EUR 776 million of unencumbered assets, as you see on Page 18. Let me say once again, market we are 37.1% and unsecured is 39.09%, almost 40% of total IGD assets, it would be, let's say, 40% of the debt breakdown on the right-hand side of the slide, both the refinancing in February and the bond were classified as were rated as green. So that's why we're very much focusing on ESG factors so that our assets are as much as possible at the level that banks and the market considered as green assets and green funding or financing, 82% of our portfolio is certified with a minimum of very good rating. We are talking about the BREEAM certification. And then we have excellent as well. And this is something that we feel is a priority. We committed to it. We're also very much working on photovoltaic systems. We signed a major contract with Edison, and Edison is investing and through our lease contract, we acquire energy from them at fixed prices and low costs that has a twofold benefit. So we're not using capital for that, and we have clean energy, renewable energy, and we have 3 cases already. We've seen that installing photovoltaic-type panels is very much appreciated in parking places, it's appreciated by users, just because in the summer, it's a shade against the sun. And in the winter, it protects them against the rain or snow. So this is another target in our business plan that we very much see priority. And [indiscernible] building energy management systems. We can work out consumption, we can see peaks when there's no need for air conditioning or lighting, the system works automatically to achieve energy savings. In the first 4 months, we had 20% saving on the used energy. So that was also a goal in our business plan that is to say, using AI to reduce energy consumption. And we are really investing heavily in this. And it will be the leitmotif also going -- our light motive also going forward. And then of course, we have some annexes. Should there be any specific questions, we gave you a breakdown of tenants and how they are placed in our portfolio, how they are we make a comparison between them and our merchandising mix locally and internationally, and then WALB & WALT, number of contracts we have. So we put in a lot of material that you can look at. I'm not going to go into it, but I'd rather answer your questions and have a dialogue with you now if you need any further info. Thank you very much.
Operator: [Operator Instructions] First question comes from the line of Arianna Terazzi with Intesa Sanpaolo.
Arianna Terazzi: You are moving really fast in executing our business plan. So first of all, I think you have the right pace to really beat the guidance you gave us for FFO. So could you elaborate on that? And then for 2026, financing and funding, what are your expectations as far as average cost of debt is concerned for the next year?
Roberto Zoia: Good question. And as you could see, we are up EUR 31 million. Our guidance is 39 for the business plan. And given the time we are going through, so every day, there's a factor coming into place, it could be tariffs, it could be something else. So it's not easy for me because a part of it is really hyped and would like to take the guidance up because it's in the figures. But we said, let's be cautious. Let's see how this quarter performs goes and then maybe we'll come back and increase our guidance. And if you look at FFO for the last 3 quarters in the worst-case scenario, we should anyway be higher than EUR 39 million. I don't want to officially increase our guidance. I'm not in favor of that, but I'm more than confident that we can do better than those EUR 39 million, so 39, sorry. As to the cost for average cost of debt for 2026, it will further decline. Without the refinancing of 2028, we would land at 5.1%, which is what we wrote post issuance, bond issuance. It's clear. However, that started from January 1, 2026. We have to really focus on our 2028 maturity to have an expansion of that maturity and at the same time, to achieve a reduction in cost of debt. But we are talking about EUR 150 million. So if we compare it to the EUR 800 million, even if it were 50 basis points, it would still be 10, 15 at the end of the day basis points. But the objective I gave the target I gave all of my teams is to get below 5% with our average cost of debt because the EUR 300 million were placed with a coupon for 4.45% because if you think 4.45%, it's a 2.2% spread. We have financings that are almost 3%. So there's room that 70, 80 basis points for further negotiations. Of course, it's only one chunk of our debt because the bond will be carrying forward on its own for the next 5 years. But the objective for 2026 is to go below 5%. The guidance, of course, you can interpret it as you wish. I'm very optimistic and very confident. Now we are -- guidance is EUR 39 million, but we are very close to 40%, let's say.
Operator: The next question comes from the line of Simonetta Chiriotti with Mediobanca.
Simonetta Chiriotti: I have a question on the market. You said that the market is quite buoyant right now volume-wise, and -- could you elaborate on the transactions that they given some interesting signs as far as valuations are concerned as well or appraisal, what are the expectations for full year 2025? And also looking ahead to next year going forward? And in a more buoyant market scenario, how about your project somehow dispose of assets within your consolidation scope? Can it be really fulfilled?
Roberto Zoia: Thanks for the question. Today, it's clear that, as I said before that. If we look at our market comps on rates that are eventually finally, normal or aggressive, we have audio center for actually it's the shopping center. It's a major shopping center in North of Italy, you name it. But we could see both in small transactions for small shopping malls in the Veneto region and the Bennet transaction. We've seen that we start to see a little bit of decompression, if I may say. Up until a year ago, every time people approach the shopping malls you would think of double digits. Now it's starting to go down. So my perception is we had early November, so I don't have the visibility yet over the full figures, but I think there will be an adjustment because rents will grow structurally. And also the market is so big that which should be somehow deflate or decompress or even stay flat with a 10 basis point decompression with revenue increase. But bear in mind that we have not yet seen a very strong decline in discount rates. Above and beyond what the ECB did, they did a lot of reduction. But if you look at discount rates for December and June, we have not yet seen a real decompression of the discount rate, which I hope that I am confident will materialize going forward. So the bouyant market, as we think Simonetta, and I am confident that it will lead to a slight decompression. And recently, I have met some players. We know that retail in Italy together with Spain is probably Italy and Spain are the countries that are performing best. In Spain, transaction, the later transactions were made at a very high price. So even some very big players are saying maybe it's worth going to Italy, where I still have a pricing benefit vis-a-vis Spain. And at the same time, we are aware that there are 150 basis points between Italy and Spain. So and that even splitting that in half, 75%, it would mean excellent returns for Italy anyway. This is what we get from looking at the market. Portugal and Spain are the ones that are faring best retail-wise, then comes Italy better, much better than France and Germany. And therefore, also players who, in the past, were most skeptical about this asset class, if it's a retail are changing their mind. I think there can be an excellent -- well, a good result in 2025. And at the same time, this can have a further impact in 2026. We looked and were contacted, true that -- that would be more interest in putting assets on the market, in the market and cashing in without contributing liquidity into our sync, but there are still players who think that a partnership with IGD where we are 51% and they are 49%, still, they would still have very interesting dividends. So we have this ongoing open negotiation table with very, very frequent meetings. It's a project that players, especially industrial players like very much and they still want to retain assets also from -- under a different legal form. And also for the juice fund, the one with the 6 supermarket, we've started to look around because for us, too, it could be interesting right now at this moment in history to dispose of part of the assets that belong to that portfolio. And for us, it would mean recovering equity that it's now blocked in the fund. So it's a highly dynamic market. We're very careful looking around. We are focusing on disposing of Romania, but also very much focusing on strengthening and growing alliance inc., which could be a turning point not to be committed to huge investments, but to increase to benefit from an LTV perspective to benefit from the leasing network. So we are definitely working a lot on the alliance project.
Operator: The next question comes from the line of Federico Pezzetti with Intermonte.
Federico Pezzetti: I have a couple of things I'd like to ask. The first one in Italy, we saw a speeding up of the like-for-like growth for you from 3.2% of H1 to 4.5% now. So a strong acceleration in Q3. Could you elaborate and give us more details on the drivers behind this growth? And then the second thing I wanted to ask is you talked about uplift that are still there, not as strong as in 2024, but we still see uplift. So what do you see for the coming quarters? Could you elaborate that a bit give us some color on that as well for uplift? And then also early still, but I'd like to ask for some hints on dividends, maybe looked on the expectation the market consensus has so [indiscernible] and could you -- maybe you could elaborate on that? I'm just trying to see.
Andrea Bonvicini: No, it's okay. It's always worth to give it to try. I'm an open book as Mr. Zoia, so they're trying to at least at on me here, cloudy and all the coworkers, but I'd like to be an open book for you anyway. There's indeed a very strong acceleration on the like-for-like side and it's driven by two main factors. First of all, the upside, we achieved a very meaningful one. And then it's the occupancy factor. When I give you a net rental income on a like-for-like basis, I have two levers. First one is the revenue growth. And the second one is that I occupy if I have occupancy in certain spaces. I no longer have to share common expenses for the property. So from -- if in 2026, we can cover another extra 1% of vacancy, that indeed will an immediate impact on the like-for-like growth. It's clear that 4% is a lot, but let me remind you that in our business plan, we gave you 16%. So it's somehow it's the objective, the goal, the 4% on a yearly basis, which is driven by revenue growth and also occupancy growth. So for 2026, we are all super committed to retain that 4% to get to add up to 16% in 2020. The upside is really paying off. We made sacrifices for Prime and Action to having anchor tenants. It often means making investments, but we've seen that most retailers, when they are close to attractive tenants they are willing to somehow pay something extra. And I'm very happy. We had a peak in Q3 similar to the Q3 2024. But having this 3% above inflation in a year in which macroeconomic tensions that did play a role, as we all know, on everything. So I think that was an excellent result we achieved. Last but not least, on dividend, it's clear that as we are EUR 17 million group net profit, that is mainly driven by Italy and a CQ part. It's true that in the last quarter, we have to expense ancillary charges for the last bond. So ancillary charges for the early repayment, we will have to expense them for the early redemption. So the profit is going to be slightly less than what you saw for the quarter. But should it be EUR 20 million, I'm just saying figures to say something, 70% of whatever is mandate or 14 divided by 110, would be around 13%, so not far from 15%, which would be a magic figure would be -- would be 50% more than the 10% and we had last year. So Federico, unless there are any specific situations or holdups, it's clear that the mandatory is very close to 15 because 15x 110% is EUR 16.5 million. So EUR 16.5 million and roughly, we are in that space already. So today, as I said before, I really hope, and I am confident that our FFO will be higher going forward. And so above and beyond the dividend policy, you know that I have mandatory, 70% mandatory on the exam operation. Italian net rental income and some write-ups if there be. And we also have to bear in mind that we have Loan to Value to refer to. And I keep saying that, and I'm reiterating it today. I don't want to waste money indeed. In the past, probably to generous when there were no conditions to be so generous. Of course, we want to pay out the highest possible dividend, but also bearing LTV always in mind. That's why we are saying the objective for 2027 is getting to 40%, and that would put us in a comfort zone. If we get to 40% of LTV in that case, of course, we can have a dividend policy on FFOs and therefore, have a different approach. I'm not saying that we can -- well, we would be willing to increase our dividend by 50%, but we have to bear in mind what LTV is like, of course, if there is -- there will be nice surprises in Romania between now and year-end or the 2 months before the new year. In case we cash in some money, we would further reduce debt. We would be better off and therefore more prone to paying out dividends. But be assured, rest assured that the company, the shareholders have a common shared goal going back to paying a sustainable dividend, good dividend. But now going from making an effort to reduce our LTV of one point and then pay out 2 more points on dividends that you have -- you then have to recover with a lot, lot of effort. So it will very much depend, and here, I'm going back to Simonetta's question as well, it will very much depend on finding good year-end valuations and good prospects for -- a good outlook for 2026 valuations, and that will give us better room for dividend payout. When you say 0.15, indeed, we are somehow in sync. This is something I have in my DNA as well because it's more or less 70% of what we have our mandatory figures.
Operator: The next question comes from the line of [indiscernible] with Banca Akros.
Unknown Analyst: I'm referring to the last question you asked. And this year we got to 44%. What would be the ideal level?
Roberto Zoia: Sorry, I could not hear whether it was FFO or -- and there, it's a question about getting to EUR 20 million. And looking at tenants, could you elaborate on the trends that you are witnessing as far as the tenant sales are concerned? Well, the question was for LTV. In our business plan, we gave a target for 40% for IGD, and also, if I look at our peers, European peers as well, it's a figure that keeps us in the market in a comfortable way. So to this -- how do we get to 40%, we have disposals. I can confirm that we are at EUR 14 million, we put in EUR 20 million in our business plan -- that means we need to have a similar -- another similar transaction, EUR 5 million, EUR 6 million roughly within this year and therefore, hitting the target of EUR 20 million. And there too, I am very confident because I see a very lively market, buoyant market. So I confirm the goal to get to EUR 20 million, we've already done EUR 14 million , LTV 40% going to product categories. For the first time, in this presentation, we are on Page 25 of our slide because I got a lot of questions on, for instance, apparel clothing. You see we broke down the merchandising mix with cloth, everything was put together. Instead here, we break it down better. If we look at clothing in general. So with average surface not specialized, we are below 30%. It's clothing on the right-hand side, it's 28.3%. And IGD's portfolio is not made up of 300 stores where we're having 30% of clothing is a lot. We have a lot less. Our biggest shopping centers have 120, 130 stores. So clothing, we try to reduce it over the years to the benefit, for instance, of sportswear, why is that? Because today, if I think of JD Sports, for instance, [indiscernible]. And they're not the [indiscernible] because it's really, really only sport, but it's sportswear. JD Sport more specifically, they have appealing turnovers, revenues, and we're working on that with them as well. What is really working is perfumes and health and beauty, so to say, because they are really doing well, electronics -- consumer electronics is finally picking up again. We have 2 resizing Actions so forth, but electronics, we've resized, but they are really promoting physical sales, and that can be seen in the figures they make and also they tell us the [indiscernible] MediaWorld, and they tend to really focus on physical sales. Considering that the cost -- considering the delivery cost they apply on online sales. The service is provided. And so electronics is doing really well. You've seen with the new openings. Of course, we have to be -- always have to be cautious because food courts should not be done everywhere with too much offering, but while we have shopping centers with a very big catchment area where you have lots of houses, offices that have evening entertainment. So we're really focusing on that. And the big chains such as Piadineria and KFC. And you know that funds took [indiscernible] upstakes are also Piadineria these players, funds took up stakes in them, so they're really focusing on their business and then health and beauty, jewelries as well we've seen very interesting results with jewelries as well. And jewelries, normally, at year-end, they help when there's variable revenues that they sell a lot during the last quarter of the year. And then services, we are also strengthening them, enhancing them. What's also interesting is that they are working a lot on the leading side on entertainment, other than movie theaters and cinemas because for -- if you go out in the evening, normally would only go to the cinema, but we've really seen that in Livorno, where it's open until 11:00 p.m. we have McDonald's, they have a sizable revenues. And there are different types of entertainment that is not necessarily a cinema or a movie theater. And they have the same level of attraction somehow and combining restaurants and entertainment. And it could be 2 meals or 1 meal and 3/4, if you're not work in the evening, then they cannot somehow keep the area retaining. I hope that's the color you were expecting. And if it would be the right mix between local and international tenant. You see in key tenants, you go from Iniditex for instance, international tenant. We have 10 stores data, for instance, Unieuro is between Italy and France, somehow. And then the big ones also in the light of the piece of info we got last night is OVS, which has everything now OVS -- means OVS, Open, Golden Point, Casanova, Sasha, you name it, Piombo. So it's a lot too. And for us, they are a partner. They are also performing really well. So we have to try and find the right balance with them as well. They were talking about OVS. OVS, we have a preferred relationship. In all of our shopping malls, we are super happy to have them. And they are doing really well because the OVS format managed to somehow be placed halfway between Primark and Zara, which somehow is already seen as medium high versus H&M or [indiscernible]. OVS is an excellent brand because they found the right balance and with their different lines such as Piombo and Golden Point? And then [indiscernible]. So within OVS, you get to have the average clothing bracket, and we have some shopping centers with OVS delivering very interesting tenant sales.
Operator: [Operator Instructions] Mr. Zoia for the time being, there are no more questions in the queue.
Roberto Zoia: Very well. I would like to thank you all for joining us today. And for any question or doubt or meeting or insight, I'm available 24 hours a day, 7 days a week. So if you need to have more info, please do not hesitate to contact me. Thank you very much, and have a good afternoon.
Operator: This is the chorus call operator. The conference call has come to an end. You may disconnect your phones. Thank you very much. [Statements in English on this transcript were spoken by an interpreter present on the live call.]